Operator: Good morning, ladies and gentlemen, and welcome to the Wayside Technology Group Conference Call. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded. I would now like to introduce your host for today's conference, Melanie Caponigro. Ms. Caponigro, you may begin your conference at this time.
Melanie Caponigro: Thank you, and good morning. Welcome to Wayside Technology's First Quarter 2018 Earnings Call. Before turning the call over to Simon Nynens, the company's Chairman and CEO, I'll dispense with the customary cautionary language and comment about the webcast for this earnings call. We released earnings for the first quarter at approximately 5:00 p.m. Eastern time, Thursday, May 3, 2018. The earnings release is available at the company's Investor Relations website at waysidetechnology.com. Today's call, including all questions and answers, is being webcast live, and a rebroadcast will be available at www.waysidetechnology.com/site/content/webcast. This conference call and the associated webcast contain time-sensitive information that is accurate only as of today, May 4, 2018. A detailed discussion of risks and uncertainties are discussed in our Forms 10-Q and also in greater detail in our Forms 10-K. Wayside Technology Group, Inc. sees no obligation to update and does not intend to update any forward-looking statements. Now I would like to turn the call over to Simon Nynens.
Simon Nynens: Thank you, Melanie, and good morning to everybody. Income before tax increased 7.5% and diluted earnings per share increased 23%, a good quarter. From an operational view, we strengthened our position in the software distribution market as we signed distribution agreements with more than 10 new vendors. We also maintained our focus on costs, which allowed us to drive a solid earnings performance. We continue to have one of the most conservative balance sheets as a public company and do not have a current need for debt. Cash, vendor prepayments and long-term receivables, what we internally view as total cash, amounted to $19.7 million or 31% of our market capitalization and represent the 50% or half of our equity at the end of March 2018. In addition, we have current dividend yield of almost 5%. We have the tools in place to add more publishers, including a great team and great IT infrastructure. Now I would like to hand it over to Michael Vesey to report on the financial numbers. Mike?
Michael Vesey: Thanks, Simon. I'll review our financial results for the first quarter, then discuss our balance sheet and the liquidity. To start, you'll note we adopted ASC 606 revenue from contracts of customers effective January 1, 2018, using the full retrospective method. So all comparisons reflect restatement of the prior year amounts to be consistent. The adoption had no impact on income from operations. However, we now report a substantial portion of our revenue net of the related cost of sales, which impacts gross margin as a percent of net sales and other operating metrics. As has been the case in recent quarters, our Lifeboat Distribution business, which accounts for over 90% of net sales, has shown growth, while our TechXtend business, which tends to fluctuate from period to period based on the level of extended payment term sales, declined. Overall net sales for the quarter increased 6% to $40.6 million compared to $38.1 million for the same quarter last year. Lifeboat Distribution net sales were up 9% for the quarter to $36.8 million, while TechXtend net sales for the quarter were down 13% to 13.7%. As I mentioned, the decrease in TechXtend sales were due to lower extended payment term sales, which fluctuate based on market opportunity and internal capital allocation decisions. Gross profit for the quarter increased 2% to $6.9 million compared to $6.8 million for the same period last year. Following the sales pattern, Lifeboat Distribution gross profit for the quarter increased 6% to $6.1 million, while TechXtend decreased 23% to $700,000 due to lower extended payment term sales. Gross profit margin as a percentage of net sales decreased by 70 basis points to 17.7% compared to 17.0% in the prior year. Here, you will note that the percentage margins are significantly higher than reported under the prior accounting standard as a result of the net revenue reporting for certain items. The period-over-period change in gross profit margin is the result of several factors. First, our margins for hardware and software products decreased somewhat due to growth in higher-volume product lines, which carry a lower incremental margin than our overall average, and general competitive pressure. Secondarily, that decline was partially offset by shift in products mix towards subscription to maintenance products, which recorded net of third-party cost of sales, effectively resulting in 100% reported gross margin for those products. You will see, we also reported adjusted gross billings as a non-GAAP operating metric in our earnings release to assist with historical comparisons. As described in the release, adjusted gross billings adjust GAAP net sales to exclude the cost of sales for products to reported net under the new standard. Adjusted gross billings increased 11% to $125.1 million compared to $112.8 million in the prior year's quarter. Total selling, general and administrative expenses increased slightly from last year to $5 million due to higher professional fees and public company costs. SG&A expenses as a percentage of net sales were 12.4% in 2017 compared to 13% in the prior year's quarter. For the first quarter of 2018, the company recorded a provision for income taxes of $500,000 compared to $600,000 in the prior year. The effective tax rate was 23.4% in 2018 compared to 32% in 2017, reflecting the new corporate tax rate enacted as part of the Tax Cut and Jobs Act of 2017. Net income for the first quarter of 2018 increased 21% to $1.6 million compared to $1.3 million during the prior year. The increase in earnings was primarily driven by increased gross margin contribution from our Lifeboat business and the impact of the new tax law. Diluted earnings per share for the first quarter of 2018 increased 23% to $0.36 a share compared to $0.29 a share for the same period last year. As noted in previous quarters, we recalculated and restated our previously reported earnings per share amounts using the two-class method because -- consistent with the current year calculations. Now moving on to our balance sheet. We continue to manage a strong balance sheet and liquidity position, with cash and equivalents of $7 million at the end of the period compared to $5.5 million at the end of 2017, and an additional $20 million available to us under our credit facility. The increase in cash reflects a profitable quarter and positive impacts to operating cash flow resulting from the utilization of vendor prepayments made in 2017 and reduced long-term receivables from extended payment sales. We paid approximately $800,000 in dividends during the quarter. And as of March 31, 2018, stockholders' equity was $39.8 million compared to $38.7 million at the end of last year. Total working capital, including cash, was $29.3 million compared to $29.9 million at the end of last year. In addition, our long-term receivable balances of approximately $7.5 million, which are not included in working capital, are available to us as sources of future liquidity. On May 2, 2018, the Board of Directors declared a quarterly dividend of $0.17 per share of its common stock payable on May 21, 2018, shareholders of record on May 14, 2018. And finally, a quick review of the details on our adoption of ASC 606. We adopted a new standard, ASC 606, revenue from contracts with customers, effective January 1, 2018, using a retrospective adoption method. Under this method, we will present revenue for all periods presented as if the standard had been adopted at the beginning of each period presented. The most significant impact of the adoption of the standard for us relates to the recognition of revenue for certain third-party subscriptions, maintenance and services. Historically, we have accounted for most sales on a gross basis, with third-party costs included in cost of sales. Under the new standard, we will account for revenues from sale of certain items on a net basis. The change from gross sales to net reporting has no impact on gross profit, net income or cash flows. However, it does increase gross profit as a percentage of sales. The adoption of this standard resulted in a reduction of net sales and corresponding reduction of cost of sales of $84.5 million and $74.7 million for the first quarter of 2018 and 2017 respectively. We have a tax table summarizing the impact of the adoption to our financial statements, and we'll include additional information in our Form 10-Q to be filed shortly. Simon?
Simon Nynens: Thank you, Mike. Now before we start the Q&A session, a couple of more thoughts. We thank our customers and vendors for their trust and partnership. We are a flexible, proactive and knowledgeable partner, who acts like an extension of a vendor's sales and marketing team. We strive to give our customers the absolute best buying experience. This year, we made it to number 34 in New Jersey's best places to work, a great testament to our forward-thinking culture. We look forward to a great confidence in the people who make these results possible, our team here at Wayside Technology Group. And to them, I say thank you for your hard work during this past quarter, and thank you for your continued passion to win. Thank you. Operator, we can now start the Q&A session.
Operator: [Operator Instructions] Your first question comes from Lu Molder [ph].
Unidentified Analyst: I was just wondering if there's any effort made -- I know that you're small-cap company and you don't want to pay for coverage, but is there any interest in getting some analysts to look at your company? You've got a great dividend. You've got a long-term record. A lot going for you, and it seems that nobody knows about it.
Michael Vesey: Yes, this is Mike Vesey, and I think the answer is yes. We're going to look at creating some market awareness in the upcoming year. We've been focused in the past year on kind of adjusting to be an accelerated filer and putting some things in place where we could approach the market a little bit more proactively, and we will be looking at that on a going-forward basis.
Unidentified Analyst: That's good. The momentum that you've created in this quarter, do you expect it to pretty much carry through as the quarters progress? Or is there something that might interfere with the progress of the company?
Simon Nynens: In our industry, we fight for sales on every single month, there are no long-term contracts. It's a very good start to the year, and we look forward to it with great confidence. However, it's early in the year, and as I said before, it's very hard to give forward-looking information in our industry.
Operator: At this time there are no further questions. Please continue with any closing remarks.
Simon Nynens: Thanks for your interest in our company, and we look forward to reporting our second quarter results at the end of July or the beginning of August. Thank you so much.
Operator: This concludes today's conference call. You may disconnect at this time, and thank you for your participation.